Operator: Good day and welcome to the Q1 2015 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Marc Grynberg. Please go ahead.
Marc Grynberg: Thank you, and good morning, everyone and welcome to the call. We have decided to adapt [ph] the time of the call as we have busy day today with the Annual General Meeting taking place later in the day, and I hope that you do not mind the change of schedule. As you will have seen from the publication this morning, we are off to a very solid start to the year with revenues up by 11% compared to the same period last year. Filip will dive into more detail about the evolution in the different businesses and without preempting too much Filip’s comments, I can already tell you that the overview looks really good for the vast majority of our activities. Catalysis showed revenue growth of 15%, with the main improvements being linked to the new business coming from European light duty and heavy duty catalyst markets. In Energy Materials, we saw a 20% progression which was a combination of organic growth and the positive impact of the acquisitions that we made in the cobalt and specialty materials business units last year. In Performance Materials, revenues were slightly lower than they were last year, and this was mainly linked to a slow start in the European construction sector. In Recycling, we started to see some of the volume benefits from the first phase of the Hoboken expansion and the supply mix was also somewhat more favorable than in the same period last year. The currency headwinds that we faced in recent years, has to a large extent, subsided following the strengthening of the US dollar. This being said, currency effects so far this year were limited relative to the volume uplift as most of the deliveries in the first quarter were made against contracts that were secured in the course of last year. As you will recall from February, we have started a process through the line of portfolio of businesses and eventually to divest to two zinc related activities by the end of 2016. We initiated an information process early this year with employees and in Belgium this process is now complete. But we are moving ahead with the creation of separate legal entity for the activities of those businesses. While it is too early to comment on possible partners or buyers, I can assure you that the process is very much moving ahead as planned. Turning now to the outlook we have provided the guidance that points to a strong increase in profit for Umicore in 2016. Indeed this current market conditions continue to prevail and given the visibility that we have today in our businesses, I expect that full year recurring EBIT would be between €310 million and €340 million. This compares to the €274 million that we generated last year and we represent an increase of between 13% and 24%. As I mentioned back in February this would be mainly driven by increases in the Catalysis and Energy Materials activities as recent investments in the segments start to contribute meaningfully, something that is borne out by the respective revenue growth in the segments so far this year. In terms of EBITDA, the increase would be a bit higher even due to the increase in the precision charges following recent investments. And with that, I would like now to hand over to Filip who will walk you through the performance of the four segments.
Filip Platteeuw: Thank you, Marc and good morning everyone. So starting with Catalysis, this segment showed a strong increase with revenues up by 15%. As you’d expect this was mainly driven by the automotive catalyst activity and we have mentioned before that we were expecting some catch up in the light duty diesel side in Europe, as some delayed platform started to come to market in early 2015, and this has been borne out in the first part of the year. We also generated high revenues from the heavy duty catalyst activity both in Europe and in China as we continue to ramp up sales for this application. Overall, our catalyst revenues grew better than the car market and this was the case in all of the regions. We made good progress in two major new investments that we are undertaking one in Thailand and one in Poland with both due to come on stream in 2016. Our precious metal chemistry activity also recorded high revenues largely as a result of the knock on effect of high demand of automotive catalyst. Switching now to Energy Materials where we recorded the biggest increase in revenue growth amounting to 20%. While this includes the additional contribution from last year’s Todini and CP Chemicals acquisitions well over half of the second top-line growth was organic. In rechargeable battery materials, the year-on-year comparison is distorted by last year’s atypical strong first quarter volumes. Volumes in the first quarter of this year were more in line with the customary patterns and reflect a growing demand for our products this as well for our NMC materials for automotive applications as for our high energy density material for high end electronic devices. We expect continued strong demand based on our current order book. Substantially high revenues in cobalt and specialty materials were driven by continued higher sales in the ceramic chemicals business and the integration of the newly acquired businesses in the US and Europe which is proceeding very much according to plan. The Electro-Optic Materials and thin films product activities increased revenues on the back of steady growth in their respective end markets and in the case of in particular an increasing recycling and refining business. Moving to Performance Materials, Performance Materials was the only segment generating slightly lower revenues year-on-year with also a more mixed performance per unit. Building products revenues were lower due to a slow start in European construction sector and a certain degree of customer destocking. This was something that higher volumes outside Europe were not able to compensate. In our other zinc units, zinc chemicals, we recorded revenues that were well up across all of the different product groups and particularly in zinc oxide. Also in zinc oxide, we recently decided to close the underperforming plant in Goa, India which will further improve the financial profile of this business unit. The electroplating business unit generated higher revenues as a result of better sales volumes in most of its product categories, particularly in decorative applications. Platinum engineered materials which tends to have a rather lumpy revenue profile driven by large projects was slightly down due to such a timing effect in its display last application segment. Revenues of technical materials were in line with previous year and business in Element Six abrasive joint venture was affected by the lower activity levels in the oil and gas drilling sector. But as you know, the revenues of Element Six abrasives are not reported in our numbers as it is accounted for using the equity method. Finally, in Recycling, we generated revenues that were 7% higher than in the first quarter of 2014. Unlike the first quarter last year, the Hoboken plant operated smoothly and was also able to derive volume benefits of the first round of investments that took place last year. The mix also improved with a higher intake of PGM rich and complex residues from the non-ferrous metal sector. Metal prices had no material impact on the revenue resolution given the balance between somewhat higher received precious metal prices and lower specialty metal prices. The next phase of the expansion of Hoboken is underway with the first of two extended shut downs perceived this year. We still anticipate that the throughput improvements from these investments will compensate the extra down time from the shutdowns. In the other Recycling activities, revenues in jewelry and industrial metals were slightly up while precious metals management was at the same level as last year. Now contrary to last year’s currency headwinds, the appreciation of the US dollar and its currencies versus the euro benefitted revenues and earnings across most of our businesses. Still, higher demand was the most significant driver behind the double digit revenue growth, partly as some of the underlying contracts were still secured at the end of last year. As a reminder in January, we took advantage of the strength in precious metal prices and the US dollar exchange rate to hedge a sizeable portion of our 2016 precious metal and dollar exposure. Since then, we have not increased our strategic hedge position. Our net financial debt came in below 250 million end of March thanks to very strong operating cash flow. We expect a full year CapEx spend similar to the levels seen in 2013 which corresponded to some 218 million. As a consequence of our past growth investments, this year’s D&A level is expected to increase by approximately 10% from last year’s level of 169 billion. So this concludes my part. Marc?
Marc Grynberg: Thank you, Filip. So, in conclusion, it has been a good start of the year with a strong overall improvement in revenues as you have now heard. You will recall that some months ago I indicated my confidence that 2014 would be a tough year for earnings and I’m pleased that the evolution so far this year, indicates that this will effectively be the case. And with that, I would like now to turn the call over to your questions.
Operator:
. :
Tony Jones: Good morning everybody. I’ve got three questions and firstly in Catalysis, could you tell us what the underlying rate was excluding currency effects? Secondly, in Energy Materials, greater 20% can you split that into the acquisition contribution and then underlying growth? And then finally in Recycling, you flagging the better intake on higher PGM rich feeds, could you see that as sustainable given your contract visibility? Thank you.
Marc Grynberg: Let me start with the first question, growth in Catalysis excluding currency effects. No, we are not breaking down the growth in detail. It’s wise to say that the vast majority of the effect is volume growth and as I mentioned in my introduction as Filip explained also, currency effects this year was so far relatively limited because many of the deliveries that were made in the first quarter or most of the deliveries that were made in the first quarter across businesses, were made against contracts that were secured in the course of last year with prices on currencies or metal components being hedged into course of last year. So you should not assume that there’s been a great deal of currency boost in the revenue growth figures that we’re publishing today. I will let Filip answer the questions about Energy Materials.
Filip Platteeuw: Tony in Energy Materials we have revenue growth of about 20% and a bit more than half of that is organic so less than half is related to the first hand contribution of the two acquisitions.
Marc Grynberg: And finally, coming to the PGM rich materials it is relatively unclear at this point in time whether there is a little bit of a catch up effect with the possibly an incoming stream of materials that has been stockpiled for a while or whether this is sustainable. We should be able to be in a position to come and turn that towards midyear today there is still some uncertainty in that respect.
Tony Jones: Thanks very much.
Operator: Our next question comes from Mutlu Gundogan with ABN AMRO. Please go ahead.
Mutlu Gundogan: Yes. Good morning. Also, three questions, first on the guidance. You’re guiding for an increase in EBIT of some 50 million and you say that it’s mainly coming from Catalysis and Energy Materials. Just wondering can you provide it as a split between those two segments? Is that similar to each other or is it more skewed to one segment? Second question on Recycling on the plant shut down I know you don’t like it to share the length of the shut downs but could you at least provide a comparative number i.e. for example, is it twice as long as normal shut down or three times as long just some indications there would be nice. And then finally on BASF, also a difficult question I think in terms of that you’re still in a legal fight for us analysts, would you be able to provide at least a worst case scenario in terms of financial impact? Thank you.
Marc Grynberg: Let me start with the last one because I think it’s pretty straightforward, there is no worst case scenario if you read the statements that we issued at the end of last week and no responses, we believe there is no case. And I think that’s a clear indication of how you should or could look at the situation and the risk. Again I would like to point to a number other factors, first of all, and this is quite fundamental all product in our business do have freedom to operate and are not infringing on the BASF or any other patents and we can demonstrate that we can provide scientific evidence of that. Secondly, and this is may be of a secondary importance, the validity of the IP that BASF and Argonne are putting forward can be questioned in light of prior publications. And last but not least, as we have indicated, we believe that the work that’s been done prior to the fighting by BASF and A&L was not professionally researched as the products that they have based their file upon was not even Umicore’s. So we believe because on the basis of these elements that there is no case and there is no worst case scenario to be considered. Now let me come to the other questions, in terms of the guidance, considering the relative size of the business groups you should expect in absolute terms that Catalysis would contribute more to the earnings increase relative to Energy Materials. And then regarding the shutdown just to give you a rough indication since of course we do not talk in days or weeks, it will be difficult for you to make full use of that information but just to give you a rough indication, the shut downs are twice as long as usual to accommodate the need for them.
Mutlu Gundogan: Okay. That’s very helpful, Marc. Thank you.
Operator: Our next question comes from Filip De Pauw from ING.
Filip De Pauw: Yes, good morning all. Two questions, first question in Recycling. Given that the prices of most metals that you recycled, at least in euro terms seemed higher in the first quarter year-on-year that’s possible by the fact that you don’t mention that’s one of the reasons for driving the growth Recycling. So I was wondering if you could help me understand a bit better. And the second question is on Catalysis, you already said that the 50% growth in Catalysis is mostly driven by organic growth and I wonder if you could give us some feeling of what has been driving the growth most is it LDV or HDD? Those are the questions.
Marc Grynberg: Okay. So let me start on the price effects in recycling. We mentioned in the press release and Filip’s comments that actually the effect of higher precious metals prices was largely offset by the effect of secondary metals. So all in all, it’s a fairly neutral year-on-year. So that’s the reason we didn’t highlight that as an element of revenue - significant element of revenue as an evolution. When it comes to Catalysis, both elements are important materials both evolutions in light duty and in heavy duty. In heavy duty it’s clearly the ramp up in production of heavy duty catalyst, in Europe to a lesser extent in China that is contributing to the growth and in the light duty it is the introduction of Euro VI platforms in Europe as well as the continued growth in other regions that have both contributed to the growth. And I’m not going to break down the growth effects in light duty and heavy duty further than that.
Filip De Pauw: Okay. Thank you.
Operator: Our next question comes from Junior Cuigniez from Petercam. Please go ahead.
Junior Cuigniez: Hi, good morning. Couple of questions have already been asked, but couple of may be first one could you remind us to what extent volumes were impacted last year from and then second question also on BASF just wondering whether this wasn’t just part of the business, with players marking their territory and it just brought to press because for example BASF wanted to be question actually is it’s just part of the business these kinds of lawsuits? Thanks.
Marc Grynberg: Regarding the throughput effects we didn’t quantify them last year and so I’m not going to do that after the fact that now. They were better and had an impact on the revenue and profit evolution but were not quantified. And coming back to the discussion about the lawsuit it is a little bit of speculative nature at this point in time, one can speculate or make assumptions regarding the true litigations of BASF. I would rather say that it is not a customary practice in business to first file a lawsuit and then I would say assume the consequences of a lawsuit. In many cases, in technology related businesses, if there is a doubt about IP or freedom to operate, it is customary to have discussions with customers with suppliers with competitors with IP rights and licensing discussion in certain cases and if you do not have an agreement if you do not reach an agreement of these discussions then the litigation can start. This is how it would typically work in practice. This was not the case this time around so and given the elements I mentioned earlier one can indeed speculate make their own interpretations about the true underlying motivation.
Junior Cuigniez: Okay, that’s clear. May be just a small follow up on my first question if I may, could you may be indicate whether volumes would have been or the plant would have ramped smoothly you would be able to show growth this quarter? Thank you.
Marc Grynberg: Yes indeed. The answer is positive because we start to see the first benefits the first wave of expansion investment it was carried out in the second part of last year in Hoboken.
Junior Cuigniez: All right. That’s very good. Thanks.
Operator: Our next question is from Paul Walsh from Morgan Stanley. Please go ahead.
Paul Walsh: Hey guys. Thanks for taking the questions. Just three, if I possibly can, within the Catalysis business, clearly you guys are in share taking mode given the ramp of various different lines. I wondered within the increase year-on-year of 15% if you could sort of split underlying market growth versus the impact from your own product lines ramping up that would be very helpful. Second question, I know there’s not much FX benefits in Q1 but I just wondered if you could give us more detail on what your FX assumptions are for 2013 versus 2014 whatever rate implied you’ve got hedged across the other divisions is there more of an FX impact in the sort of spot divisions like Catalysis versus those that are on the contract like in Recycling? And just my last question on Hoboken, clearly guiding towards still relative stability on throughput this year all things being equal, I mean should I read that to imply some growth in Q1 translates into minus 7% in Q2 or you’ve been able to do anything to sort of preempt the shutdown i.e. was Q1 was kind of up on throughput to try and mitigate in a Q2 just wondering it looks like that the numbers in Recycling are reasonably good and I’m just wondering if you’re sort of still being conservative or is that a realistic outlook? Thank you very much.
Marc Grynberg: Paul let me start with the last question. I cannot say today whether it’s conservative, aggressive it is the most realistic view we have today based on the engineering assumptions about how the plant will work after the massive wave of investments and modifications that are going to be carried out now and later this year. So, that’s what I can say
Paul Walsh: And may be just one easier way to ask the question then, is there anything in your EBIT bridge year-on-year for Recycling?
Marc Grynberg: I’m not going to answer the question. At this point in time, we provide earnings guidance for the year, for the group without going into too much detail by division. Sufficed to say that we have an extended shut down in Q2 that indeed makes an extrapolation from Q1 rather complicate and possibly not appropriate. So the guidance today is that for the full year we expect to be able to compensate the extra down time compared to last year in terms of the throughput improvements that should be realized with the investments and we’ll see how the facility operates after the first wave of investments and we should be able to provide you with the some more precise information and necessary guidance at the time of publication because we will have the first shutdown behind us and so we’ll know how things have worked out as we restarted the facility. So bear with us a little more and today this is the best and the most realistic view I can give you about the recycling evolution. In Catalysis, I would say that in all regions we grew faster than the markets I thought that the market growth figures were communicated and so you can see that the difference between the market growth or growth which was predominantly a volume driven indicates how well we have performed and indeed there has been quite a significant distance between the two sets of figures. Of course indicates of the heavy duty segment it is a bit of a peculiar situation because of the starting points is relatively low.
Paul Walsh: Sure. And just my final question on FX please.
Marc Grynberg: Yeah, I’ll hand over to Filip to answer your question on FX.
Filip Platteeuw: Yes, I’ll try to answer it as well as I can. I mean typically you know that we provide a bit more granularity on the ForEx impact with the earnings. So with the half year results we’ll try to refine it a bit quantify a bit but the question on what’s your outlook or what’s your assumption yours is as good as ours obviously. The only thing that we did mention is that we have hedged part of our exposure in second half of January because we felt the conditions at that time were good. Just as a reminder, what is the ForEx exposure for Umicore it’s partly translational and it’s partly structural. And the structural part comes from on the one hand the metal side and on the other hand non-metals for example refining charges. So those are the exposure and what we have done in terms of hedging in January is hedge a significant part of the non-metal structural exposure. Since then we have not increased our hedging as we have indicated. So the message that we want to give is basically when you look at the revenues in the first quarter the overriding factor behind the growth was volume growth and basically operating leverage from the installations rather than ForEx.
Paul Walsh: And so did the FX gain build over coming quarters or is it just a hedged out non-factor for you this year?
Filip Platteeuw: As we have some contracts which were entered into end of last year, which we mentioned, and by the way that goes for the revenues but also for the raw materials. There will be some effects still coming indeed for the remainder of the year. That’s what I forgot to mention in terms of you have spot business and you have contract business. I mean these related to the last part you can have some contract business where you have some delay effects but obviously for the spot business it is the market ForEx to be more specific or the business units I don’t think that’s very relevant. But indeed there is some delay effects from the contractual business. But the main message is that the growth that we’ve seen to the largest extent is from the volume in the first quarter but we will obviously it is helping us the ForEx like last year we had the [inaudible].
Paul Walsh: Okay, that’s awesome. Thanks a lot guys.
Filip Platteeuw: And just to avoid any misunderstanding that’s factored in the full year EBITDA items.
Operator: Thank you. Our next question comes from Adam Collins from Liberum. Please go ahead.
Adam Collins: Hello. I’ve got three. First of all some color on the evolution of the Energy Materials side, in the statement, you’re talking about margin pressure and portable electronics. I wondered if you could just tell us whether that’s an intensification from prior periods where you’ve also talked about some challenges there. And then conversely on the automotive side you talk about NMC cells having grown at a faster pact this quarter than prior quarters in the pick of the order rates. And I wondered if you could just provide some color there what was being driving that progress? So that’s the first question. And then couple sort of financial ones so firstly are you in position of giving an update on what the likely tax rate outcome is for this year and then finally on cash flow you talk about certain net debt reductions from the end of the year and that’s happened despite the fact that CapEx looks to be pretty full this year and maybe there was a payment for the dividend in the first quarter. So what’s been driving that cash flow progress in the quarter? Thanks.
Marc Grynberg: So Adam, let me start with the Energy Materials related questions and then I will ask Filip to answer your financial questions. The margin pressure is [inaudible] of the battery materials business and it’s - I wouldn’t say there was an intensification of that in a continuation and it’s been intensive enough so far so sufficed to say that continues to be a feature. And it’s one of the elements of how the business is playing out and you need to have both technical performance and cost performance to be competitive and qualified for business. and this will continue to be the case as we see and that’s why we mentioned in the past that market shares were pull is important because scale effects in this type of business it’s quite impossible to remain competitive. And then indeed there was a pickup in demand for NMC materials used in automotive applications and our assessment is that this is mainly related to the production of a number of mainstream models from I would say a number of OEMs. But I think these three models are in position in contrast to niche applications and so we see a number of OEMs introducing or multiplying the number of electric versions that they offer. And this starts to have an impact on demand on NMC materials. With this, I would like to ask Filip to answer the other questions.
Filip Platteeuw: Adam on the tax question I would prefer to wait until we have the results to give you bit more specific tax rate. You know that the underlying trend is for gradual increase in our tax rate we’re close to 20% in terms of effective tax rate preventing below 30% so the underlying trend should be a gradual increase but allow me to come back on that when we have a better view on the geographic mix. On the reduction of net debt, the two factors that you mentioned are both factors explained in the introduction that is CapEx and we will have a year with guidance CapEx of 280 for this year. We had a relatively slow start to the year CapEx so that is one factor. Second factor dividends, we have no dividend in the first quarter that’s in the second quarter. We have underlying very strong rate in cash flows and secondly in terms of CapEx in terms of no dividends that we have relatively high free cash flow which helps to reduce the net debt.
Adam Collins: Very good. Okay. Thanks, Filip.
Filip Platteeuw: Adam, it’s the slow start of the year actually the reality is that the CapEx spend is easily distributed across quarters, in particular because of the timing of investments in Hoboken and we’re investing 100 million in Hoboken expansion, a small portion of that spent last year and the vast majority will be spent here in two major phases and that creates a distortion in the distribution of the CapEx spent across quarters but the full year guidance remains 280.
Adam Collins: Okay, thank you.
Operator: Our next question comes from Simon Fickling from Exane. Please go ahead.
Simon Fickling: Hi, good morning all. Firstly on the battery materials business you commented on the NMC side, I wonder if you’re going to talk on the automotive side on the other technologies thinking in particular LFP, what dynamics you’re seeing now? And if there’s any change to the midterm outlook in terms of what’s the balance of cathode technology is likely to be? And a couple on Catalysis please, firstly on the HDD, is it fair to assume that most ramp offs were taken in last year in relation to the new HDD CapEx or will there be some lingering impacts on margins in Q1 and potentially into Q2? And then finally on light duty on the diesel side, I’m sure diesel sales would have been up year-on-year given the pricing impact of Euro VI but I wonder if you can comment on volumes if you’re seeing any impacts from diesel shares in France and first two months of this year? Thank you.
Marc Grynberg: Simon we don’t see any significant change in terms of the technology make up in the market for battery materials. So we see no significant traction for lithium iron phosphate in automotive applications as I mentioned on a few occasions in the past with the notable exception of test we decided to go for MCA most if not all other major OEMs have decided to NMC materials and their electrified applications and LFP has possibly more potential in energy storage applications and limited number of niche automotive and related applications rather than sort of mainstream car demand. So we don’t see any significant change and in a way, these types of choices are made for the term from the automotive makers so you should not expect I would say the distribution across chemistries due to the change very frequently or on short notice. Coming to the HDD ramp cost you’re right the vast majority of that start up costs was taken in the course of last year with the exception possibly of the last line we’re installing and commissioning for the European markets so there is a little bit of residual ramp and start up costs in HDD. This being said, the most significant difference in terms of HDD contribution compared to prior years is the revenue ramp up. And finally, the comment on the light duty diesel evolution you’re right there is a value uplift coming from the introduction of Euro VI norms in the region and we also have a significant volume uplift and despite I would say some of the trends that we have seen in certain markets like the one you mentioned against diesel purchases. This being said, we have new platforms for which production has recently started and which creates a noticeable impacts for us in light duty diesel applications.
Simon Fickling: All right, guys. Thank you.
Operator: Our next question comes from Evgenia Molotova from Berenberg. Please go ahead.
Evgenia Molotova: Good morning. Three questions if possible, the first one if you could comment on HDD market share I know that you normally don’t but any targets that you want to reach there? The second one in addition with PGM rich streams for Recycling, I was just wondering because obviously last year we had all this and whether you see any improvements in particular from PGM miners in terms of the availability of the supply? And the last one is on Energy Materials because you reviewed performance materials in terms of core and non-core parts [indiscernible]. I was wondering if you considered divesting something in Energy Materials in the future. Thank you.
Marc Grynberg: Let me start with the last question Evgenia so the answer is no, there is no divestment on the agenda of Energy Materials at this point in time. I’ll take your questions in reverse order if you do not mind. PGM rich supplies has improved this year, this being said, it’s still a bit early to make out whether this is a sustainable improvement that follows an improvement in production conditions in South Africa or it’s a little bit of a catch up effect that’s possibly has been stockpiled over the course of last year and second part of last year. I hope I can provide more color on that later in the year and we publish our half year results. Today, it’s difficult to make out I would say. I’m still concerned I would say that production will not reach the levels that we had seen prior to the crisis in South Africa because the price environment is relatively unfavorable and remains relatively depressed and the cost picture also remains relatively unfavorable for many of the operations down there. Then your first question about HDD, we don’t have and we do not disclose a target in terms of market share, sufficed to say that market positions are relatively well established now because of the contract has been awarded in past years for the new norms like US VI in Europe and I expect limited or no more moves in terms of market share going forward, except those that are derived from the ramp up of our activities. And again, I would like to repeat that considering all late entrance into that segment, and the fact that we were very late relatively to the largest markets in North America our market share you should assume that our market share will be somewhat more limited is in the passenger car segment.
Evgenia Molotova: Thank you so much.
Operator: Our next question comes from Joe Dewhurst from UBS. Please go ahead.
Joe Dewhurst: Hi. Good morning. Just one question quickly, can you say roughly what proportion of the cathode materials sales are now going into automotive applications?
Marc Grynberg: I can tell you that the vast majority is going to the portable applications and in particular the high electronics applications. So we see a good traction in automotive demand however, starting from a small base and so this represents still a limited fraction or proportion I should say what we’re selling today.
Joe Dewhurst: Thanks so much.
Operator: We have a follow up question now from Mutlu Gundogan from ABN AMRO. Please go ahead.
Mutlu Gundogan: Yes, thank you. I have two questions on Recycling and one for the Group. On Recycling, when will you know when the second shut down will take place? And can you explain to us on what that is dependent? The second question is on recycling demand once you have done the shut downs, in ‘16 how much of your capacity growth is already covered by contracts? And then finally, again on the guidance, can you provide us a rough estimate of the splits of the REBIT this year? So will that be a 50-50 split on H1 and H2 and how should we see that phasing?
Marc Grynberg: Mutlu the second shutdown is already planned and they will take place in Q3 to the largest extent and so of course we have to plan that in advance because of the investments, it’s not just about maintenance work that are going to be carried out but it’s very significant investment so the equipment had to be ordered, contractors have to be available at the right point in time. The investment execution is going to be fairly concentrated so it requires careful advanced planning. The guidance split I think it’s too early at this point in time to provide a split H1 H2, I would prefer to reserve my answer or limit myself to the full year guidance at this point in time. And I’m sorry I missed your second question.
Mutlu Gundogan: Yes, it was on the demand on recycling. Once you’ve done the two shutdowns this year, your capacity will be up significantly, just wondering how much of that capacity growth is already backed by contracts from your customers?
Marc Grynberg: It’s work in progress and we’re confident that we’ll be able to indeed feed the extra capacity as it will gradually come on stream in the course of next year. So we’re making good progress in terms of sourcing materials. It’s difficult to establish a distinction between contracts that we’re securing for the additional capacity or base load there is no such distinction made in reality. But the evolution of sourcing continues to be very positive so there is a great degree of confidence that we’ll have plenty of material to feed the other plants.
Mutlu Gundogan: Just a follow up, so if there’s no distinction between the additional capacity at the base load, does that also mean that in terms of pricing there was no difference because I would say that when you announce the 40% capacity expansion, it was expected that it will be dilutive so to say to the returns of the business.
Marc Grynberg: Mutlu I mean when you negotiate a contract with a supplier, you do not enter into a discussion of whether that material will be processed as a part of the extra capacity or is the part of the existing capacity. So we do not have these types of discussion so I cannot answer that question in a different manner.
Mutlu Gundogan: Okay, okay. Very helpful. Thank you.
Marc Grynberg: Okay. And actually with this, I would like to close the Q&A session with a bit of apologies because the Q&A session is a little bit shorter than previous occasions. Filip and I have a fairly tight schedule today and this being said, please feel free to get in touch with our Investor Relations team, Evelyn and [indiscernible] will be more than happy to take your follow up questions and duly address them. So with this, I would like to thank you for your participation to the call this morning and we’ll be in touch shortly. Thank you and have a very nice day. Bye, bye.
Operator: That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.